Operator: Good morning, everyone. Thank you for joining Packaging Corporation of America's First Quarter 2025 Earnings Results Conference Call. Your host today will be Mark Kowlzan, Chairman and Chief Executive Officer of PCA. [Operator Instructions] I would now like to turn the conference call over to Mr. Kowlzan. Please proceed when you're ready.
Mark Kowlzan: Thank you, Jamie. Good morning, everyone and thank you all for participating in Packaging Corporation of America's first quarter 2025 earnings release conference call. Again, I'm Mark Kowlzan, Chairman and CEO of PCA. And with me on the call today is Tom Hassfurther, President of PCA; and Bob Mundy, our Chief Financial Officer. I'll begin the call, as usual, with an overview of the first quarter results, and then I'm going to turn the call over to Tom and Bob, who will provide further details. After that, I'll wrap things up, and then we'll be glad to take questions. Yesterday, we reported first quarter net income of $204 million or $2.26 per share. Excluding special items, first quarter 2025 net income was $208 million or $2.31 per share compared to the first quarter of 2024 net income of $155 million or $1.72 per share. First quarter net sales were $2.1 billion in 2025 and $2 billion in 2024. Total company EBITDA for the first quarter, excluding special items, was $421 million in 2025 and $333 million in 2024. First quarter net income included special items expenses of $0.05 per share, primarily for the closure costs related to corrugated products facilities. Details of special items for both the first quarter of 2025 and 2024 were included in the schedules that accompanied the earnings press release. Excluding the special items, the $0.59 per share increase in first quarter 2025 earnings compared to the first quarter of 2024 was driven primarily by higher prices and mix of $0.78 per share and volume $0.27 per share in the Packaging segment. Higher prices and mix in the Paper segment $0.01; lower freight and logistics expenses, $0.01; and lower scheduled outage costs $0.01. Partially offsetting these improvements, operating costs came in about where we expected at $0.37 above last year's level. Although we did see lower fiber prices during the quarter, we continue to experience inflation across most of our cost structure. Our focus on operational efficiency, cost reduction initiatives, capital project execution have helped minimize the negative impact of the persistent inflation. In addition, Paper segment volume was lower by $0.02, depreciation and other expenses were higher by $0.03 per share. Our tax rate was higher by $0.04 per share, and we had higher interest expense of $0.03 per share. The results were $0.10 above the first quarter guidance of $2.21 per share, primarily due to higher prices and mix in the Packaging segment. Looking at the Packaging business. EBITDA, excluding special items in the first quarter of 2025 of $409 million with sales of $2 billion resulted in a margin of 21% versus last year's EBITDA of $326 million and sales of $1.8 billion or an 18% margin. Excellent margin improvement for the quarter was driven by sound execution in our price increase implementation, solid box shipment volume, record containerboard production and outstanding operational performance at our mills and box plants. We are also able to end the quarter at targeted inventory levels, which puts us in a great position compared to last year's historically low inventories. Our employees continued to deliver on numerous cost reduction initiatives, efficiency improvements, integration and optimization enhancements and capital project benefits to not only minimize the negative impact from the persistent inflation, we currently see across most of our cost structure, but also to capitalize on our longer-term strategic goals. I'll now turn it over to Tom, who's going to provide further details on containerboard sales and the corrugated business.
Thomas Hassfurther: Thanks, Mark. The disciplined implementation of the price increases for liner, medium and boxes according to our announcements was a significant contributor to this year's first quarter results. Domestic containerboard and corrugated products prices and mix were $0.72 per share above the first quarter of 2024 and up $0.41 per share compared to the fourth quarter of 2024. Export containerboard prices were up $0.06 per share versus last year's first quarter and down $0.01 per share compared to the fourth quarter of 2024. Although we began to see some pullback in the middle of the quarter related to the uncertainty created by trade tensions around the world, box demand was solid and exceeded a very strong comparative period in last year's first quarter. Total volume and shipments per day in our corrugated products plants were up 2.5% versus last year's first quarter when per day shipments were up 11% over the previous year. Also, in addition to supplying record containerboard production volume to meet the integrated needs of our box plants, outside sales volume of containerboard was 30,000 tons above the first quarter of 2024 and 6,000 tons above the fourth quarter of 2024. As we look ahead to the second quarter, we expect the economic uncertainty to continue weighing on demand. However, we still believe the box shipments will be higher than the first quarter and above last year's tough comp, which was up 9.2% over the previous year. Regarding the strategic capital plan for our converting plants, I'd like to mention that in March, we had a successful start-up of our new state-of-the-art high-efficiency full-line box plant in Glendale, Arizona. The 365,000 square foot plant was started up ahead of schedule, significantly below budget and all equipment was operational during the first week of production. Previously, we were limited in our ability to serve and grow with our customers in this key marketplace due to the plant's limited capability and aging equipment that required us to pull from several different locations, some of which were quite far away geographically. Our new plant will increase box capacity by almost 2 billion square feet, significantly increase productivity on a unit labor hour basis, reduce costs and allows us to optimize our service capabilities, not only in the Phoenix area, but also in the growing markets in Las Vegas and portions of California. I'll now turn it back to Mark.
Mark Kowlzan: Thanks, Tom. Looking at the Paper segment, EBITDA, excluding special items in the first quarter was $40 million with sales of $154 million or a 26% margin compared to the first quarter of 2024 EBITDA of $41 million and sales of $164 million or a 25% margin. The employees of our Paper business continued to deliver excellent customer service and remain focused on efficient and cost-effective operations in order to deliver outstanding margins for the quarter. Similar to the industry, sales volume was 7% below a particularly strong first quarter of 2024, along with current economic uncertainty. Volume was 2% above the seasonally weaker fourth quarter of 2024. Paper prices and mix were 2% above the first quarter of 2024 and flat versus the fourth quarter of 2024. Our previously announced price increase began to be implemented during the quarter for all office printing and converting grades. Prices have begun to move up according to the terms of our customers, and we expect to begin seeing higher prices in the second quarter results. I'll now turn it over to Bob.
Robert Mundy: Thanks, Mark. Cash provided by operations set a first quarter record totaling $339 million and free cash flow was also a first quarter record at $191 million. The primary payments of cash during the quarter included capital expenditures of $148 million and dividend payments of $112 million. Our quarter end cash balance, including marketable securities was $914 million with liquidity of just over $1.2 billion. As mentioned in our earnings release last night to help manage the current economic uncertainty and its impact on our demand, we have adjusted our planned maintenance outage schedule and pulled up into the second quarter an outage that was scheduled for later in the year. This will result in a $0.16 per share increase in planned outage expenses for the second quarter versus the first quarter. The revised total company estimated cost impact for the year is now $1.22 per share versus $1.18 per share previously. The actual impact in the first quarter was $0.23 per share and the revised estimated impact by quarter for the remainder of the year is now $0.39 per share in the second quarter, $0.16 in the third and $0.44 per share in the fourth quarter. I'll now turn it back over to Mark.
Mark Kowlzan: Thank you, Bob. Looking ahead, as we move from the first and into the second quarter, as always, our attention will remain on what we can control. Our North American focus, together with our balance sheet strength, well capitalized mills and plants, our commitment to strategic goals and our proven ability to respond quickly and effectively to external factors will serve us well during a period of economic uncertainty. We anticipate continued ambiguity relative to domestic and foreign tariff actions and their effect on global trade and our demand trends. Therefore, we've made certain assumptions in our guidance to recognize potential negative impacts to volume and costs from the uncertainty. In the Packaging segment, we expect domestic prices to improve with continued implementation of our price increases along with fairly flat export prices. Although we see box shipments improving, operating costs will be negatively impacted due to lower containerboard volume as we run our operations to match demand assumptions. Also, as Bob mentioned, adjustments to our planned maintenance outage schedule will result in a $0.16 per share increase in outage costs compared to the first quarter. In the Paper segment, implementation of a higher published price index prices from the first quarter will continue, although volume will be lower with the planned maintenance outage at our International Falls, Minnesota mill. Rail contract rate increases at 6 of our mills during the first and second quarters will result in higher freight and logistics expenses and depreciation expense is assumed to be higher as well. Considering these items, we expect the second quarter earnings of $2.41 per share. With that, we'd be happy to entertain any questions, but I must remind you that some of the statements we've made on the call constituted forward-looking statements. The statements were based on current estimates, expectations and projections of the company and involve inherent risks and uncertainties, including the direction of the economy and those identified as risk factors in our Annual Report on Form 10-K on file with the SEC. The actual results could differ materially from those expressed in the forward-looking statements. And with that, Jamie, I'd like to open the call to questions, please.
Operator: [Operator Instructions] Our first question today comes from George Staphos from Bank of America Securities. Please go ahead with your question.
George Staphos : Hi everyone. Good morning. Thanks for the details. Good morning Tom. You mentioned ambiguity, obviously, in the macro environment, and you mentioned that you had made some change in how you're looking at your guidance and forecast. You laid out a couple of things. Were there some other points that you wanted to delve into in terms of how you're adjusting how you're looking at forecast and guiding for the year? And relatedly, what are the early bookings and billings for 2Q?
Mark Kowlzan : Everything we just talked about and the way we are looking at the quarter is based on, and I'll use the term caution that's being exercised by our customer base. A lot of our customers are looking at their business and everybody is being very prudent. And so therefore, on the -- how the ordering is flowing through, everybody is just again, being very cautious about how they present their business to the marketplace. So again, across the board, our business is still robust, but it's just -- again, I'm just going to use the word cautious. Tom, do you want to talk about cut up for the --.
Thomas Hassfurther : Yes, George. Our bookings and billings are up 4.1% starting out the quarter. So we are starting out well at about what we expected. I think the caution relates to a number of different things. You've got, obviously, the tariffs and these sorts of things. And you can listen to all the experts and talk about it, but there is no real expert in this arena right now because there is attempting to do things that haven't been done for a long, long time. So I think there is some caution related around that. And also, this is happening at the same time, we are fully implementing a price increase. And in addition, the mix is changing somewhat in corrugated in total because e-comm continues to be a growth engine for corrugated, and that's really related to the second half of the year more so than the first half. So a lot of moving parts, and that's what we're reflecting.
Mark Kowlzan : Bob, do you want to --.
Robert Mundy : Yes, George. I'll just add one other thing, George. You have to also consider that, and we mentioned last night that we exceeded our guidance because of better price realization in our Packaging segment. So that number -- the amount we exceeded our internal guidance by was more than the $0.10 beat we had in the first quarter. So said another way, that was something we thought we would get more likely in the second quarter. So that -- you have to consider that as well when you look at our second and first quarter together.
George Staphos : I see. I see. I appreciate that, and that adds some good color. Relatedly, so you said that inventories are where you'd like them to be. You're seeing an increase in box volumes. Yet we're seeing containerboard production, I think you're implying coming lower 2Q versus 2Q. Help me understand if there are any missing parts in what I've just relayed. And if not, why you're reducing production if your inventories are in good shape as your box volumes are going up. And I recognize things are pretty cautious out there overall, which you mentioned. And then lastly, you mentioned in fourth quarter reporting that you were anticipating a richer mix for 1Q. From our numbers, profit per ton produced was up a couple of bucks, which is fine from 4Q. Is that where you expected it? Was it up or down versus expectations? Thank you guys. Good luck in the quarter.
Mark Kowlzan : Let me talk to the first part there. As far as, again, based on what we are seeing in the marketplace, as we've always done, we're running to our expected demand across the board, what we see with our customer throughout North America. There -- because of some of the trade tariff debate going on, we have pulled back from a very small amount of export going specifically to China. And it was just -- and again, it is a very, very small amount. But again, just as we've always done, we're running to our customer demand. That being said, we anticipate the month of May, we'll probably have two of our smaller machines down for the month unless something changes dramatically. And so that's how we're going to manage our inventory. That has something to do with some of what we talked about with the cost impact on these outages. We are taking the mills down for their annual outage. We're pulling up -- the outage we referred to that we are pulling up from the latter part of the year is at Filer City, Michigan. That was planned for the fall, and we're pulling that up to the month of May. But that will probably keep one of the small machines down for the extra number of weeks, as we see the inventories and demand move around. And so we're just -- we're being cautious in our own right on how we look at the world. And -- but that's -- again, we have that ability to move very quickly if we need to. There was another part of the question that you had there. Refresh me on what was that second part?
George Staphos : Mix.
Thomas Hassfurther : I don't remember really talking about richer mix in the first quarter because the first quarter is just a pretty stable mix. And of course, you are not going to have a tremendous amount of graphics or anything like that in the first quarter. So the one -- couple of things that did impact us though in the first quarter that we haven't really even talked about, and that is we did have more weather related closures than we would typically have in any winter. So that was impactful. And then also in Southern Texas, the weather did impact the ag business down there to a large extent. But I think also what we are talking about when we talk about the mill outages and moving those up is because we do see the second half demand being significantly higher than the first half. So we see an opportunity to get that done. And so it just makes good sense so we can run full out in the second half of the year.
George Staphos: Thank you Tom. Make sense, I’ll turn over.
Operator: Our next question comes from Mike Roxland from Truist. Please go ahead with your question.
Mike Roxland : Hi, thanks for taking my questions. And congrats on good results in a tough operating environment. In terms of just the $0.10 beat, can you just -- and you mentioned that due to higher prices and mix in packaging, can you just provide a little more color with respect to your operations? Was something specifically the way you ran your mills? Was it something with the contracts where price was able to flow through faster? Just want to get a sense of how you were able to beat your expectations by $0.10 in 1Q.
Mark Kowlzan : Well, as I called out on my portion of the script, we operated exceptionally well, but we also moved our price increase through very, very effectively. Tom, do you want to comment?
Thomas Hassfurther : Well, I just -- the only comment I would make is that we implemented the price increase exactly as we said we would in our announcements. And I think that's very important. So there was a larger portion, obviously the price increase related to our outside sales of liner and medium along with the noncontract box price increase. And the rest of the contractual box price increase will continue to be rolled through in the second quarter and will be completed by July. So that will have that normal 90-day cycle that we typically see.
Mike Roxland : Got it. I appreciate the color there, Tom. And then just following up on your comments on e-commerce. You gained some share in e-commerce, I believe. Obviously, it is continuing to flow through ops and some of it, obviously, is maybe more traditional brown box type products as well. Can you just give us a sense of some of those business wins that you had in e-commerce, where they stand with respect to EBITDA margin and return on invested capital relative to your underlying business? Is that the business that you picked up from an e-commerce vantage point, your 20% type EBITDA margins, call it, mid-upper teens return on invested capital type business?
Thomas Hassfurther : Well, Mike, I would say we picked up -- our volume growth is primarily a result of our existing customers, number one. Number two is we did add some additional outside customers. We don't typically target any particular segment. We target customers that we know will be around for the long haul and that we've done business with for decades. Now that said, e-comm is the #1 growing segment in corrugated. And obviously, that becomes a larger segment for us as well since we do business with the e-comm providers. And are the margins better or worse, whatever? No. The margins are what they are, and we make -- we don't take on business just for the sake of taking on volume. I mean I think we've said that many, many times. We have a business to run. Our customers have a business to run, and we both expect to be able to make good returns in our businesses. So we've done a lot of things in our mills that we've talked about in terms of customizing our boards for different industries and different demands. And so I think that a lot of -- there's been discussion about let's say, as an example, well, price doesn't seem to move as much for certain industries or your mix -- the mix is getting more towards brown than it is towards graphics, things like that. Well, that's really just a result of what's happening in the marketplace. If e-comm is growing, that means big box is probably going the other way, which also means there's less graphics and displays and things like that and some of that other, what you call richer mix. So we're just adapting to whatever the marketplace is. And that's demonstrated also in what we've talked about, what we're doing in the second quarter.
Mike Roxland: Got it. Thank you very much.
Mark Kowlzan : Thank you. Next question.
Operator: Our next question comes from Gabe Hajde from Wells Fargo Securities. Please go ahead with your question.
Gabe Hajde : Tom, Bob, good morning. Tom, I want to challenge maybe a little bit of what you said. I mean, two of the other competitors in the marketplace are talking about value over volume and trying to extract more from customers. Maybe I don't know if they are talking about retail-ready packaging or figuring out ways to upsell customers, maybe wow them when they get that package on their porch and when the opening experience and things like that. I'm just curious if you all are seeing that as you talk to your sales force across the different channels, those types of opportunities or if you've seen any change in behavior or if there is anything that you're seeing when you're going out for RFPs, things like that?
Thomas Hassfurther : Well, Gabe, I think that some of that's a little bit of gee whiz, if you ask me. But what we see -- we lead in this area, in my opinion, to offer our customers the very best value and the very best options that they may use the box for. And that's what makes the box very unique is that we can -- it can advertise, it can protect, it can do all these other sorts of things, and it's the greatest -- probably the greatest product in the history of mankind from a sustainability and recyclability standpoint, too. But -- so our customers are very sensitive to those sorts of things. They want us to bring the innovation and the ideas to them, which is what we do always. So I'm not -- I don't want you to misinterpret what I'm saying that PCA is headed towards nothing but brown because that couldn't be further from the truth. But at the same time, we accept the realities of what's happening in the marketplace.
Gabe Hajde : Okay. In the press release, you mentioned some rail increases. I know those are typically timed around April 1, the day before Liberation Day. I'm just curious, it sounds like there were some increases that from a contractual standpoint that were put through if you are willing to comment that they're more or less than what you were anticipating. And then if I could slip one other one in. I think you talked about CapEx at $148 million. The guide, I want to say from memory, was $840 million to $870 million, tracking a little bit below if we were to annualize it. I know things are lumpy. Just curious if that $840 million to $870 million number is still what you're tracking towards. Thank you.
Mark Kowlzan : Yes. On the CapEx, we're still tracking on that $800 million level of spending. We've got -- we broke ground on the new plant in Ohio back in February. So that's well underway, and we've got some other big projects going on, one big project at one of our mills and then just the numerous projects reconfiguring a couple of the other box plants on the East Coast. So there is a lot of good activity happening there on the capital side.
Robert Mundy : Yes. And on the rail increases Gabe, we had, I think, three in the first quarter. So you'll get a full quarter's worth of those in the second quarter. They happened around midway or a couple in March. And then we have three additional that will take place in the second quarter. So that was what drove our comment around freight.
Gabe Hajde: Thank you, good luck.
Mark Kowlzan: Thank you, next question please.
Operator: Our next question comes from Mark Weintraub from Seaport Research Partners. Please go ahead with your question.
Mark Weintraub : Thank you. Good morning. A few follow-ups. First off, on the sequential pricing, which, as you know, was very strong. Can you share kind of roughly speaking, how much of your box business is non-contract and/or has that share increased meaningfully over time?
Thomas Hassfurther : Our non-contract is about 30% and 70% on contract, and that's been pretty consistent for years.
Mark Weintraub : Okay. And so I guess just -- can you help us a little bit more in -- explaining kind of how you are able to get as much as you got in the first quarter. And I think you noted it was better than you had expected to. And so I'm just sort of trying to understand what you'd be able to do. Was that because you were also recouping kind of inflation outside of just the price increases in some of your negotiations? Or any more color you could help provide?
Thomas Hassfurther : Let's just put it this way. We announced whether the publications picked it up or not, we made an announcement on linerboard and medium as to what we were going to do in terms of raising price, which we did. That's one. Another factor is what we've done in the noncontractual area, and we got that through in very quick fashion. So that part from a timing standpoint, that was better. And although we've expressed some disappointment in terms of the amount of the contractual side that's tied to the publications, that's rolling through in its normal cycle over a 90-day period, like I said. So the majority of that will be recouped in the second quarter and then some into even the month of July.
Mark Weintraub : Okay. Thank you. And then second, you mentioned you expected volumes to be significantly higher in the second half than the first half. Maybe a bit more color there. Are there customer wins that are part of that equation? Or is that largely a macro view? What was sort of behind that comment?
Thomas Hassfurther : That's more of a macro view. But furthermore, in addition, I mean, we know what's coming on. As I mentioned we don't build these facilities like the Glendale, Arizona facility. We don't build these things and then hope the customers will come. I mean we've got them lined up, and we built it because they have the demand for it. And of course, that plant will be ramping up and will be – it is doing incredibly well starting out. And I got to call out all of our engineering and technical staff as well as our plant staff and leadership teams. They've just done an unbelievable job. And I'm very proud of the fact that we can start up a plant literally with no hiccups and just ahead of schedule, below cost and be fully operational like that. But we'll build into that plant as an example. And furthermore, just on a macro basis, the mix continues to be a little more second half loaded than steady year-round, which is not unusual for our mix, by the way. But it's just as we've gotten bigger, I mean, it becomes a little more impactful.
Mark Weintraub : Got you. And then just the last quarter's call, you talked about big cost increases, 1Q, 4Q. You'd indicated that you probably -- Bob, I think you'd indicated you'd probably get close to half of that back in the second quarter. I recognize you've layered in a whole bunch of other factors, too. But is that still conceptually true that about half of the types of costs that you were seeing in 1Q, 4Q would be recouped in 2Q?
Robert Mundy : Yes, Mark, I'd say that is correct. But as you also mentioned, the other things that we talked about relative to running our mills according to demand and pulling the outage, an outage into the second quarter and those types of things, obviously overshadowed that improvement you would have seen otherwise.
Mark Weintraub : Understood. And then lastly, just -- so you mentioned changes in the marketplace, e-commerce being a bigger part of the market. What implications does that have on your kind of views about lightweighting? And how important it is to increase that capability as that part of the market grows faster?
Thomas Hassfurther : Well, Mark, I think as we've -- as I've mentioned in the past, and I think it's a competitive advantage we have, and that is that the investments that we have made in the mills, the investments we made in the box plants, what we've done in the marketplace, I mean we are literally tailoring everything to what meets the needs and the demands of our customers. So the answer -- the short answer is yes. I mean a lot of lightweighting has taken place, not only with PCA, but in the entire industry. And that's why I think that, as I've said before, when you use tons now as a measuring stick and if you don't make the adjustments for lightweighting, I think you can begin to fool yourself as to what to expect because this -- you just can't lightweight for the sake of lightweighting and you can't just continue to run heavyweight board if that's not going to fit the demands of the customer. So this is all very, very customer-driven, and we've been on the cutting edge of this for quite some time and are very, very happy with the position we're in. And we measure what we sell, which is MSF, and that's really important to really understanding what's changing in the marketplace and what your margins really look like.
Mark Kowlzan : One thing I was thinking about with the new Jackson # 3 machine running, that one machine, and we'll have to calculate, but probably that one machine now is making more square feet of board than if you went back 15 years ago, then Counce and Valdosta used to run combined with the machines that they had. And so it's just a testament that, again, we've gone significantly into taking advantage of the marketplace and the lightweights have been very beneficial for us. But machines also like Jackson have enabled us to do that.
Thomas Hassfurther : Well, I think one other thing I'll add to that, Mark, is that we have to be -- we have to have performance. And that's the technology that is, I think unique to PCA that we've been able to really lightweight and get tremendous performance out of our board. And we spent a lot of capital to be able to do that.
Mark Weintraub : I appreciate all the color. And Bob, I'm not sure if you're planning to be on next quarter's call. If not, thank you for all your help. If you are, chat next time around.
Mark Kowlzan : Thanks Mark, appreciate it. Next question please.
Operator: Our next question comes from Anthony Pettinari from Citi. Please go ahead with your question.
Anthony Pettinari : Hi, good morning. Mark, you talked about cost inflation. And I'm just wondering, is there any tariff impact on any cost categories, whether it's steel or equipment from Europe or China? And then maybe following up on Gabe's question on just these box plant projects. I guess you kind of reiterated the full year CapEx guide. But is the sort of time line for these projects maybe at all impacted by some of the cost inflation that you're seeing?
Mark Kowlzan : Nothing in particular right now. We've had some small items, anecdotal results of steel in particular, with a few of the equipment purchases that we've been involved in. And so we've got our eyes wide open and our purchasing team is really working with the supplier base and understanding what the implications are in a real-time fashion. And that's something that, again, it's been all hands on deck trying to understand. If you're ordering a piece of equipment that's coming from Germany or coming from Finland or France or Japan, they're probably sourcing the steel and it's various types of steel, the different alloys, where is that coming from. And so there's a lot of moving parts here on the complexity of what's been happening with the tariff discussions out of the marketplace. But we've been watching that. We haven't had anything substantially that we've had to change. We are making sure that we understand what the implications are. Bob, you got anything?
Robert Mundy : No, that pretty much sums it up.
Anthony Pettinari : Okay. That's very helpful. And then I'm wondering, you gave that a very helpful example on Jackson and just kind of the productivity that you've been able to drive maybe at the mill level. I'm curious with Glendale, how you'd compare it versus maybe sort of average box plant in your system with whatever metric you'd think about, whether it's throughput or cost or just if you could help us kind of understand sort of the capabilities and how it compares versus sort of a "average box plant".
Thomas Hassfurther : Probably the simple answer, Anthony, is that Glendale is going to give you 2 times the output at less labor cost. So that's -- than your average box plant. Now huge investment to do so. Don't forget that. And we have to recoup those -- that capital investment and those sorts of things. But that's -- in order to get that, you are going to have to pay for that. But that, in a nutshell, is probably the easy answer.
Mark Kowlzan : And don't forget, if you go back over the last eight years, we have significantly recapitalized the majority of our converting operations. I don't throw a number, probably 80% of our converting operations have been modernized and recapitalized to provide the type of efficiencies that a Glendale provides only in a smaller footprint. And so we've taken advantage of our technical capability to put the needs of what these plants are required to service the customers. So we're in a very strong position nationwide. Even though you might look at our operations and go, well, those plants are 50 years old. If you walked in the door, you'd realize that they're 50-year-old plants, but they've been capitalized. So they are modern infrastructure and they perform in that manner.
Thomas Hassfurther : Right. And we've consolidated a lot of facilities over the years, too, as a result of this. So that we're not operating -- we're virtually not operating any really what I'd call inefficient small footprint, inefficient operations that we used to have a lot of. Those have all been consolidated over the years.
Mark Kowlzan : I think if you went back over the last 15 years, we made 24 acquisitions, and we've built a number of new plants, but we probably closed what, 20 plants or so, Tom?
Thomas Hassfurther : A little more than 20, yes.
Mark Kowlzan : Yes. So people tend to forget that, that we've closed and shut down a number of plants and really rationalized the business. So the PCA footprint today is unrecognizable to anybody that was looking at it 20 years ago.
Anthony Pettinari: Okay, that’s super helpful. I’ll turn it over.
Operator: Our next question comes from Phil Ng from Jefferies. Please go ahead with your question.
Philip Ng : Bob, congrats, and thanks for all the help over the years. I guess first question, Tom, it sounded like you are pretty confident in back half demand is going to be better than the first half with perhaps some of the wins from the investments you made. So let's say that demand outlook does play out as you anticipate. Will you need to be drawing down production in the back half? Part of the reason the 2Q outlook is a little more muted, pull forward of maintenance and then running containerboard production with demand. So if demand is better like you expect, will you need to kind of draw down production in the back half?
Thomas Hassfurther : Well, I think in the back half, we are trying to match our mill production with what we expect the demand to be, and that's why we're pulling forward an outage in the second quarter that we would have had in the second half of the year. And that's -- we -- I think the thing to keep in mind is we're always going to run the demand. And we are going to do it in the most efficient manner we possibly can. And we don't -- we're not trying to manage quarterly results. We are trying to manage the business based on doing the right things for our customers and doing the most efficient thing we can for our facilities.
Philip Ng : Well, Tom, I guess, asked differently. So the back half, you would expect your containerboard production to match pretty closely to box shipments, right, just because 2Q, there's a mismatch weighing on your profitability. So the back half should line up --.
Thomas Hassfurther : Yes. And if an example export picks up in the second half, obviously that we'll be exporting more in the second half than we will in the first half. We'll just have to see how all these things settle out. We're in a kind of a questionable mode right now, and I think that will clear up here in the next 90 days pretty significantly.
Philip Ng : Okay. And then from a commentary, I mean, April sounds like booking billing is still reasonably strong. I think if I heard you correctly, up 4%. Maybe your -- the order patterns from your customers are a little more mix. Is that largely destock on the end? Just so my question is really, do you have a view how much inventory is in the channel, whether it's the actual end customer or maybe customers in general, how long would it take to kind of flesh out that destock and how much inventory perhaps is in the channel?
Thomas Hassfurther : I think our customers have been operating pretty lean with their inventories. This is what they are telling us because they're also concerned about what's happening globally and what's happening with tariffs and those sorts of things. So they're buying materials. They're doing all sorts of other things. And I think they are operating cautiously. So we have to be able to react quickly to changes in demand, which I think will occur once this thing really clears up. I expect that our customers will operate with pretty lean inventories over the next 60 or 90 days. And again, I think that will play a role in the second half of the year when they restock a lot of those inventories.
Philip Ng : Okay. Super. And then a question for you, Mark. You guys are, as you kind of pointed out in your press release, well capitalized, strong balance sheet, you are going to be generating a decent amount of cash flow. The stock is down quite a bit. Is there an appetite to kind of step up your buybacks with your share price here?
Mark Kowlzan : Yes. I think you just termed it well as an opportunity. We'll let you know what we do.
Philip Ng: Okay, guys. Thank you guys. Good luck.
Mark Kowlzan: Thank you Phil, next question please.
Operator: Our next question comes from Charlie Muir-Sands from BNP Paribas. Please go ahead with your question.
Charlie Sands : Yeah. Thanks very much. Apologies acknowledging your comment about not running the business for quarterly reports. I just wanted to understand though the pattern of what you're seeing at the moment. I think you previously called out bookings up about 8% in the first month of Q1. You were then up 2.5% for the quarter overall. You're now saying that what you're seeing is up 4% in the first few weeks of Q2. I just wondered how much of that slowdown do you think that sort of implied there was temporary or were there calendar effects in that? And were there any particular customer segments that you'd call out that took more significant action? And secondly, you've obviously said directionally that you expect volumes to be up year-on-year and quarter-on-quarter in the second quarter. But just to sort of triangulate a bit, can you clarify whether your second quarter guidance is predicated on the 4% growth that you are seeing in the current run rate or you're aiming off a little bit on that? Thank you.
Thomas Hassfurther : Charlie, let me see if I can make a stab at a couple of these things. Yes, we did start out the first quarter with very strong bookings. It's -- first quarter is always probably the emptiest quarter there is in terms of how -- what's really going to happen in the quarter. The major impacts in our volume in that first quarter in my opinion, were, number one, weather, which we know took place in a number, as I mentioned. But in addition, I think when these tariffs started to roll out, and our customers became much more cautious about what they were going to do going forward. I think what you saw is they were drawing their inventories down and that changed the demand curve quite a bit. Second quarter of course, and again, I'm going to say, keep in mind that you are talking about a first quarter increase in volume over double digits that we had the previous quarter in 2024. And again, in the second quarter, we're going to be up. We are starting out a little ahead of maybe even a forecast. But again, it's -- I think we were up 9.2%, I think, if I recall, second quarter of 2024. So we're -- we've got some really, really big comps that we are beating. And given the environment we're in and everything else, we feel very good about that. So I think -- and then of course, then I made comments about the second half of the year, and we'll see how those play out.
Charlie Sands : Great. Thank you.
Mark Kowlzan : Thank you. Any other questions, Jamie? Anybody trying to get back into the queue?
Operator: We do have a follow-up question from George Staphos from Bank of America Securities. Please go ahead with your follow-up.
George Staphos : I'll keep it quick. I appreciate the follow-up. So Mark, you talked to this periodically on these calls. How do you view your paper supply situation in containerboard as you look out the next couple of quarters? Because even with the volume risks that are in the market, you're doing well relative to the industry trends. And your -- if we take your production and look at it relative to your capacity, there's not a ton of headroom. So how do you view your ability to keep up with demand? Are there any risks as you see it in terms of being able to supply?
Mark Kowlzan : George, if you went back over the last 15 years, we've always looked out at the future needs. And also, there's a number of levers that we can move to satisfy what Tom needs in the box plant side. Don't forget, we are moving export around the world, a very small amount, but that's a portion of containerboard tons if we needed to, that could be pulled back into the domestic market. But also, we've continued to improve the productivity out of the mills year after year. And we're always looking at opportunities out in the marketplace for what could we do in terms of a mill acquisition, a paper machine reconfiguration. So there is a number of things we're looking at. There's a number of things we're doing, and there's a number of things we always do to take care of what the box plants need. Short term, over the next few years, I'm not worried. If you ask me about where are we going to be 10 years from now, yes, if we keep growing at the rate we are growing, we're going to -- high-class problem is we're going to need a significant amount of containerboard to satisfy the kind of growth trend if that were to continue at the pace we would expect. So those are high-class opportunities.
George Staphos : No, clearly. Now if I look at -- and last one for me. If I look at basis weights, it looked like second half this past year trends were, as you pointed out, there was a lighter basis weight versus first half of '24. I didn't sound like there was that much of a change '24 versus '23 when I look at the data. So are there mix factors occurring such that, yes, in reality, the basis weight of your boxes is actually declining, but we're not seeing it in the aggregate data. And how would you say basis weights shifted year-on-year or sequentially in '25 so far? Thanks and good luck in the quarter.
Thomas Hassfurther : George, I think basis weights are continuing to come down. They'll come down again in '25 versus '24. I think it just depends on -- it depends on the mix at any given point in time or whatever the case might be, but the general trend is down. And that's, again, as I mentioned, we have our proprietary boards that are tailor-made really for our customer mix and they're predicated on making sure they perform. You can't just lightweight for the sake of lightweighting. I mean this is really true, true paper technology here. And so it's -- we'll continue to see that because I think there are opportunities for us going forward to continue to do that, and we plan to take advantage of that.
Mark Kowlzan : A good way to look at that is if you think about the last half dozen years, what we've done at the Jackson mill, when we first converted the Jackson #3 machine to make linerboard, we were doing it without the reconfiguration. So we were not able to make the high-performance grades. And then as we finished the Phase 2 last year of the reconfiguration, that's what's really given us the big uplift. So Jackson has been a game changer in terms of the majority of the calling it the volume of square feet produced of these high-performance grades that we have the capability. I mean the Jackson machine, it's -- there's only one other machine in North America that can even compare to what the Jackson machine does. And so it's been a game changer for PCA. But at the same time, we've modified and brought on all our other linerboard machines to produce these high-performance grades. That's a big beast of a machine.
Thomas Hassfurther : Yes. The beauty of Jackson is we're able to replicate a lot of what we're doing in Jackson and the other mills. And that's a great opportunity we have going forward.
Mark Kowlzan : Thanks George. Jamie, any other questions?
Operator: Sir at this time, I'm not showing any additional questions. Do you have any closing comments?
Mark Kowlzan : Yes. Thank you, everybody, for joining us, and I appreciate your time today, and I look forward to talking with you in late July. Have a good day. Thank you.
Operator: Ladies and gentlemen, with that we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.